Operator: Good morning and thank you for joining us today for our webcast announcing us U.S. Global Investors results for the Third Quarter of Fiscal Year 2019. I'm Holly Schoenfeldt. If you have any questions during the webcast, you can enter them into the questions area of the control panel sidebar, which is normally to the right of your screen. Also, you can download a PDF of today's slides by clicking on the red handout button. The presenters for today's program are Frank Holmes, U.S. Global Investors, CEO and Chief Investment Officer, Lisa Callicotte, Chief Financial Officer and myself Holly Schoenfeldt, Marketing and Public Relations Manager. During this webcast, we may make forward looking statements about our relative business outlook, any forward looking statements, and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10Q filing for more detail on factors that could cause actual results to differ materially from any described today and forward looking statements. Any such statements are made as of today and U.S. Global Investors except no obligation to update them in the future. And on slide four very briefly about U.S. Global. U.S. Global Investors is an innovative Investment Manager with vast experience in global markets and specialized sectors. It was founded as an investment club and the company became a registered investment advisor in 1968 and has a long standing history of global investing and launching first of their kind investment products, including the first no load gold fund. U.S. Global is well known for expertise in gold and precious metals, natural resources and emerging markets. With that, I'm going to move to slide five and go to Frank Holmes, CEO and CIO for an overview of the period. Frank.
Frank Holmes: Thank you, Holly. It's interesting because we did start as an investment club with the military and the Founder, Colonel Clark Aylsworth, he wasa Air Force pilot, startup this idea and he was the first to go into no load gold investing when the yields were like 14% in the 70s. It was really started in 1968 but it really grew into a mutual fund. And it was probably it was prior to leading USAA setting up their mutual funds. And so I think an interesting history and USAA is just up the street from our head office at Callahan, San Antonio. But what are our strengths were the go to stock for exposure in emerging markets, resources, gold and now has become digital currencies and I think it will also pivot into artificial intelligence with our significant investment and gold spot. We're debt free. We have a strong balance sheet with a reflexive cost structure. And we'll talk more about that and then the monthly dividend return on equity discipline. Next please, we want to thank all of our institutional investors that have stayed with us that have come and gone and it's interesting to see but some of them are very, very astute and how they have used U.S. Global as a proxy for gold and the proxy for other unique investments. So I like to thank The Royce Funds, The Financial Investment Management Group in Michigan and BlackRock also for their commitment and support for our vision. Next please, so consistently paid more dividend for more than 10 years. We have a yield of 2.5% which is higher than the S&P Small cap ETFs indexing. Next please, so we do have a share repurchase program in motion. The Board has approved a purchase of 2.75 million. We run an algorithm and so it picks up when we have down days, it picks up X percent when it falls X percent and Y dollars. So you can see that we did repurchase about 8075 Class A shares using 9000. So it's much more driven by a share repurchase on volatility, and we may suspend or discontinue it anytime. Next please, balance sheet strength, no debt. So that's the important part and so going on to the next one. The earnings, Lisa Callicotte, our CFO will articulate more about some of the events we did on the last presentation on the volatility because of our investments in companies are particularly high and high blockchain was the first blockchain crypto mining company go public and it basically now attracts the volatility of the crypto prices which will come in through as far greater than the gold market or the gold equities, but also important is accounting changes that significantly impact the volatility earnings that even Berkshire Hathaway had their worst quarter, the end of December because of this volatility. Next please, so our assets under management is still you know, it's a very, very tough, tough bear market. I've never seen such a small bear market in the financial sector. Mutual funds as a whole continue to see repositioning, repertory costs, new rules coming in for private placements, and it just seems to grow as more and more people got away from active management and have gone into ETFs because they're cheaper at the beginning, but I think it does impact them. It impacts the creation of new microcap stocks. Next please, so the disconnect between expectations reality, more small caps are unprofitable and store cases are signaling a slowdown. The inverted yield curve is of great concern in the markets but I also think there are other factors that impact a lot of the Russell 2000 and for ourselves, we have to really be conscientious of being as lean as possible and how do we streamline our cost structure in a very regulated world. Next, please, gold, gold, gold and GROW has always been a go to stock for gold. Gold assets take off, then we give them tremendous leverage, probably more leverage than a gold mine. So that's one reason why we've experienced the sort of these trend following with the price of gold, but it's so important for people to understand what drives gold and the media dominate the fear, fear, fear of dollars, the biggest reason but really is important for investors is love, love is the biggest driver for gold, love for your country, love for your family, preservation of money from governments that make missteps on their monetary and fiscal policy or they're just horrible regimes like in Venezuela and Syria. People that go into Syria, people go to Vietnam to go back to the history books, you'll see that their families had gold that was always a significant factor. So it's something you can wear and something that's very valuable and it never rusts. So gold has many attributes that drives that thought process that's love and the love trade is dominated with culture celebrations of popular - the purchase of gold. Right now we're in the Ramadan season, and we always [indiscernible] seems to be a trough in the price of gold for love and then we're going to go into the Indian wedding season, and season of lights but when it comes to fear what's really important to recognize that it's a binary model you can see it's simple. It's either monetary policy or fiscal policy, Jerome Powell, the Head of the Federal Reserve drives monetary policy and the President drives fiscal policy along with legislation coming out of Congress and senate approving. So it's so important to see that what drives monetary is real interest rates and money supply and what drives fiscal policy is tax and regulation on spending. So lower taxes and lower regulation means a stronger fiscal spending usually shows up in economy and however, trade wars can have a big impact and trade wars are form of regulation. So that's books to market like it's done for the past week. We had a big sell off in the last quarter of last year and then it rallied and then all of a sudden now trade wars are on again, those are positive and negative. And I'm trying to highlight for you what is positive, what is negative, so you can understand the fear trade of gold is real interest rates and manage your expectations, we've written about this extensively. If you've not read them, I highly recommend it that each asset class has its own DNA of volatility. You can use it to your favor. So it's a non-event for the S&P or Gold to rise or fall 1% on a daily basis on a rolling one year those numbers change, but what really [indiscernible] price of oil and the next visual I will highlight that is - I'm sorry, we skipped it there but cryptocurrencies they have a 6% to 7% daily volatility. So that's impacted our major investment in Hive which has become significance because of that investment, Hive has become a proxy for Bitcoin in theory that many investors use that rather than trying to go to different experts always a problem with these exchanges or they're afraid of opening an account at Coinbase, wallets are being stolen. There's so much negative news around it. So what's happened is that Hive has become this proxy and indirectly it impacts our results. So let's come back to gold, gold is second best performing asset class since 1999, and it always amazes me that most of New Yorkers, I particularly think gold is a bad asset class. So if you take a look at the largest fund manager hedge fund in the world, he's a big believer in gold as a part of your asset classes and so gold is an important part and we've always advocated the 10% golden rule that is 10% before you [ph] is in gold related assets and you rebalance each year. Next please, so the other big part that we've done in this past quarter has made a significant investment in an AI company. The first gold in particular to go public is gold spot, gold spots listed in Canada. They have nine PhDs, young people, Montreal is becoming a sort of a epicenter for AI, artificial intelligence that Microsoft is hiring 5000 people to create a huge center there that allow the French, Canadian intellectuals there that have these incredible mathematical degrees in AI and scientists do not want to leave Montreal, they don't want to go to New York, they don't want to go to Seattle. So basically, Microsofts of the world are going to Montreal, and that's very positive for us. So we've been taking the data for the next visual is basically Danny [ph] has done a phenomenal job [indiscernible] in building this company, along with another sort of serial entrepreneur. I've shown in the past they have backed Denny like we're backing Denny in his vision. Next visual please. So what do they do? They take the data from exploration results and from existing drilling results, and they can create a three dimensional model that is actually far superior because the human mind can only process it from four different types of data sets of data overlapping each other whereas AI can let you have 50 sets of data overlapping. I'm always just thrilled to meet these young scientists 29 years old, a PhD and tectonic plates or another one and others are geophysicist. So it's a huge advantage for our company, this investment in gold spot, because they're the leader and they have major support, Elliot Management through their royalty company in Toronto, bought 10% of the company. Eric Sprott bought 10% through his personal account, and their companies have been using this analysis and half trial [ph], which is the most significant producer in Peru, not only have they been a significant investor, they themselves have been using this technology, which is a lot less expensive than IBM and IBM has their own Watson. IBM does not have all the geo-scientists. So when you look at the data, they have over 20 key people with unique skill sets in addition to when you look at out of the over 20 and nine of them have PhDs in geosciences. So they can take big data, they can unlock and they basically they minimalize, you know they are optimized drilling, that is get rid of this garbage, don't waste your money drilling in these areas, etcetera which is very important. And when it comes to these junior mining companies that are starving for cash, they will make an investment in most companies and they will get shares, and then they'll use their services and then gold's [ph] like it's a royalty on it. So that was a really interesting part of the fact that they get a royalty on those junior exploration results. Next please, so we continue to tell her story in the financial media and continuing to try to explain why gold is an important part market asset class and from all around the world speaking at events. Next please, so this is the important part I was trying to show earlier the bullets, I was commenting on it, and it's just good to see how it's changed. But as you can see the S&P daily volatility plus minus 1%, Bitcoin was 4% and 5% but what's interesting is a year ago, Bitcoin and Ethereum were 6% and 7%. So the bear market is really basically squeezed on that daily volatility, but you can see the 10 day volatility is four times greater. It's just really for investors to recognize that does impact will stop because the significance of a high investment. Next please, so major banks have been suppressing the price of gold and I think it's been great regulatory world has gone after so many, so many people in this industry that are I just think they lack corporate governance, to the degree that's necessary to be taking the investors' money, be it even to a private company or a public company. And it's really amazing to see what's taken place and that's help with the sort of cleaning up the Wild West, like we had 130 years ago. And it's slowly happening and I think that the real pivot the bottom in this cycle was when JPMorgan who was trashing crypto currencies came up with their own stable coin backed by US dollar. And that was the real bottom in Bitcoin and we've had a rally from there. And as said a positive impact on most cryto stocks, and particularly, the investment in Hive was the best performing until we got into a proxy dispute with the largest shareholder, Genesis mining, which I hope gets resolved here shortly. Next please, so this is another way of looking at Bitcoin forms its first bullish golden cross at October 2015. You can see when it went below last year, and now it's come above. So it's very positive for that industry and so I remain constructively optimistic. I don't think it's going to rip right up to $100,000 crazy, but I think it's slowly going to climb because during this whole bear market, the adoption, the number of people using wallets, the commitment by the FidelisWorld are building their own exchange platform. I can go on with a list of companies and even Facebook now. Next slide, please. Facebook is looking to come up with their own coin and that can almost be backed by the dollar. That's very, very significant because they have to dig in users and so all of a sudden Facebook could become a currency on its own that you would be able to use to buy products. So they're exploring this very aggressively and all this relates is all positive and constructive for this industry. Next please. So looking ahead, the growth and point inventory for ongoing mining and existing facilities and access to opportunities, looking at M&A opportunities. So Hive is busy always looking for growth as it deals on defense of managing the company's affairs. Next please. Another visual, Hive trades closely with the Ethereum as you can see, it also trades very closely with Bitcoin. Next please, I'm going to turn it over to the brains of our organization that keeps all the numbers organized the trends and Lisa can articulate more about the income statement and I think also as we highlight again to readdress these accounting standards and how the impact Hive as an investment, material investment flows through its [indiscernible] results will be up for the [indiscernible] it can impact our results. Lisa.
Lisa Callicotte: Thank you, Frank. Good morning. Before I summarize the results of operations, like Frank said, I would like to categorize the investment accounting pronouncement that we adopted this year. Slide 29 notes changes in the accounting rules related to our investments that are causing our earnings to be more volatile. We adopted accounting standards update, ASU 2016-01 recognition and measurement of financial assets and financial liabilities, effective July 1, 2018. The amended guidance changed the classification and measurement of investments and equity securities and certain disclosures. Starting in this fiscal year, some of our corporate investments were accounted for differently than in the past. There was no longer and available for sale classification for equity securities for readily determinable fair value and as part of the adoption of the new standard, we made the required cumulative effective adjustment and reclassified 3.1 million in unrealized net gains and a million in related deferred tax expense out of accumulated comprehensive income and into retained earnings. Effective July 1, 2018 changes in fair value of these investments formerly classified as available for sale are reported through earnings rather than other comprehensive income. This includes any changes in the market value of our investment in Hive. The impact to earnings for this change for the quarter ending March 31, 2019 was an unrealized investment game of 2.1 million. This gain is related to unrealized gains on securities formerly classified as available for sale and previously would have increased our other comprehensive income rather than investment income. Majority of this amount is related to the gain in the market value on our investment in Hive. As of March 31, 2019 the market value of the company's investment in Hive was higher than the cost and due to the accounting change, it doesn't matter if an investment is short term in nature or long term, the change in the market value will be recorded quarterly, causing our investment income to be more volatile. Slide 30 summarizes our investment in Hive. At March 31, 2019 the investment in Hive was included in investments and securities at fair value non-current on our balance sheet, we own 10 million shares of Hive which is approximately 3% of the outstanding shares at quarter-end. The cost of the investment was 2.4 million and the market value at March 31, 2019 was 4 million. Now I will discuss the results of operations for our quarter ending March 31, 2019. Beginning on page 31, we recorded total operating revenue of 971,000 for the quarter, which is a decrease of 446,000 or 31% from the 1.4 million in the same quarter last year. The decrease is primarily due to decreases in assets under management related to market depreciation and shareholder redemptions and what somewhat offset by a decrease in the performance fees paid, operating expenses for the quarter were 1.9 million, a decrease of 152,000 or 8%, primarily for the following reasons, employee compensation and benefits decreased 209,000 or 21%, mainly due to decreases in bonuses and salaries, and a decrease was somewhat offset by an increase in general and administrative expenses of 60,000 or 7% primarily due to increase in fund and consulting expenses. We see our operating loss for the quarter ending March 31, 2019 is a loss of $884,000. On slide 32, we see other income loss for the quarter ending March 31, 2019 was 2.1 million, which was mainly related to unrealized gains on investments, including investments formerly classified as available for sale. Other income and loss increase 2.8 million from the same quarter in the prior year. Investment income increased 1.8 million compared to the third quarter in the prior year, primarily due to unrealized gains of $2 million, realized gains of 16,000 and 28,000 of impairment losses compared to unrealized losses of 36,000 in the prior period. Also in the third quarter of our fiscal year 2019 we recorded income from equity investments of $3000 versus a loss of 927,000 in the third quarter from fiscal year 2018. Net income attributable to U.S. GI after taxes for the quarter is $779,000, or $0.05 per share which is an increase of 1.8 million compared to the net loss of 1.1 million and a loss of $0.07 per share from the same quarter in the prior fiscal year. Moving to page 33, we see we still have a strong balance sheet which includes high levels of cash and unrestricted securities that combined to make up 72% of our total assets and as you can see on page 34, we still have no long term debt. The company has a networking capital of 12.7 million and a current ratio of 11.6 to 1. With that, I'll turn it over to Holly.
Holly Schoenfeldt: Thank you, Lisa. All right. We go to slide 37. As you can see, the majority of our mutual fund assets are in emerging markets and natural resources while 35% are in domestic equities and fixed income and as for distribution, more than three quarters of assets come from retail investors with 19% coming from institutional investors. Our sales and marketing efforts have continued to focus on our mutual funds, including those concentrated on gold, natural resources and emerging markets as well as our exchange traded funds. The company and our funds continue to receive an invaluable amount of viral publicity gained through media interviews. Frank Holmes often shares his insights with financial outlets like CNBC Asia, Bloomberg Radio and Kitco News just to name a few. We also continue to receive recommendations by influential financial newsletter writers as well along with sharing and syndication of our award winning original content by third party publishers. The newsletters have a loyal following and receive millions of visitors every month. Frank Holmes, CEO blogs Frank Talk continues to grow in popularity. His commentary is often featured by prominent publications including Forbes, Seeking Alpha, The Crux and Business Insider with millions of monthly visitors. In fact, just last month, the Frank Talk blog turned 12. This blog was one of the very first in the financial industry and to celebrate its success and our loyal subscriber base, we created a special slideshow pinpointing the Top 12 posts to celebrate 12 years of Frank Talk, which you can find on usfunds.com. One of our core values at U.S. Global is curiosity to learn and improve. We believe that providing educational materials to our investors is one of many ways to achieve this and some of our most recent pieces includes What's Driving Energy handout, Picture Here as well as our Fear Trade and Love Trade white paper and both of these are available for download on our website. Kitco News, the biggest gold website in the world with an audience of over 30 million monthly visitors in partnership with The Street continues to feature the Gold Game Film Show with Frank Holmes Gold Market Analysis and since the show's beginning 163 episodes have been aired. At quarter end we also like to look at the most visited Frank Talk blog posts over the last year. So no matter what year they were actually written in, that's what we're looking at over the last year. So on this slide, you will actually see that the most visited articles for the one year period where one the Top 10 countries with the largest goal deserve, two, Top 10 gold producing countries and three, what does it take to be in the Top 1% and you can sign up for the blog for free on our homepage. And all of this coverage helps us leverage our brand by reaching millions of readers, viewers and potential investors. Our website usfunds.com was visited 503,000 times from March, 2018 through March, 2019 by curious investors from all over the world. U.S. Global is also known for timely, balanced and positive market insights and our thought leadership. The company has been awarded numerous star awards by the investment, management education alliance over the years for excellence and investor education. At the end of 2018, we added three more awards bringing the total to 85 star award. Our subscriber base continues to grow organically and we currently have over 44,000 curious investors subscribed to our investment newsletters in the Frank Talk blog. We also continue to see a large following across all of our social media platforms. Investors can sign up at usfunds.com and join these subscribers to receive the award winning investor alert e-newsletter as well as the Frank Talk blog. And quickly as we wrap up today's presentation, we do want to offer attendees the live webcast the opportunity to drop us a line. We love hearing from you guys and if you would like a free Enjoy Capitalism [ph] t-shirt, please shoot us a quick note to info@usfunds.com after today's presentation. And now we would like to open it up to questions. As a reminder to those that are tuned in, you can enter the questions in the control panel on your screen and I have a few to start. The first one Frank, if you could comment on this says, if a U.S. recession and a bear market is imminent, how do you see this impacting GROW? What should investors be focusing on right now?
Frank Holmes: The how it impacts GROW is historically we get a bigger lift if you have a movement positive in gold and equity markets, so the overall equity markets above the 50 day moving average gold above this 50 day moving average, and all of a sudden the valuations change and there is a surge. When you have the equities below the 50 day and gold is above its 50 day, the inverse of that, then GROW is participated on the upside with the price of gold, but in a muted way. So it's the real leverage comes from when you have both the commodity trending positive, and the overall equities trending positive. What we advocate for investors is that look at our tax free funds and our short term government bond funds, you know, they're just great asset class if you're worried about the correction, you're not a rebalancing, you are trend follower, you're trying to be tactical, the near term tax reasons [ph] is a great way to park your money as a pretty stable NAV, when you compare it to other bond fund. It doesn't move that often to take a look at into the penny. So I think that's a real important part of investors if they really make sure they've got a bar belling that they have a lot of short term fixed income investments along with their equity.
Holly Schoenfeldt: Perfect. Thank you for that. Here's a question, Lisa that maybe you can answer. It says, what is the value of your investment in gold spot?
Lisa Callicotte: Well, during the quarter ending March 31, 2019 we purchased 7.1 million shares of gold spot and at the end of that period, the market value was approximately 1.3 million.
Holly Schoenfeldt: Great. Frank, I have another question for you about Bitcoin. This one says the price of bitcoin seems to be holding steady lately. Do you see it going up further this year? Or what are your thoughts on the next movement for that space?
Frank Holmes: I think on the slide we showed earlier today is that the golden cross took place and it's a very constructive bull market. It's taking place, not going to take off straight up. That's all lots of BS. It's just a small I've been inclined and I think that's what's positive about it and the bottom took place when JPMorgan came up with their own crypto coin. So from that in, I remain constructively bullish, but ignore the hysteria $20,000, $50,000, $100,000 over the next short period of time.
Holly Schoenfeldt: Great. Is there anything else that you would like to add Frank before we conclude?
Frank Holmes: Well, one of the things we launched our ETFs and one thing about mutual funds, foreigners cannot open an account to buy our mutual funds but they can trade through their accounts for international brokers they can trade an owner ETFs so they can buy our smart beta gold equity ETFs and they can look at our airline ETFs and they've done exactly what we did. I'm very proud of them because we put thousands of hours of rigorous back testing before we went and launched those to the public and we took our vast knowledge of experience in the mining sector particular and then we added the sort of quad approach and when we did that mathematically, it's going to outperform 90% of the time, the other competing equity ETFs and so we launched it, and it's done that. So we feel that it's a great way and the fact that the foreign investors from Switzerland or England that have global accounts can buy our products that are listed on the New York Stock Exchange. So that remains very positive. But I think the real risk it must be truly cognizant of is that mutual funds as a whole and active management, the bear market is not over and it's the real big pockets of money I'm told are with family offices that's where things have shifted. And we take a look at the infamous George Soros, he basically got rid of every one of his investors and his funds after 2008, because then he wouldn't be subject to regulatory oversight. And he just runs his own family office which is like close to $10 billion and so you're seeing a lot of other fund groups did that and that's where you get active management still. Otherwise, the quants are dominating 70% of all the noise of the day in the trading that takes place and they're able to process and read, you got to think of Google on steroids, where they can read word choice on a press release, and immediately make a stock go up or down 7% or 20% because there's been a pattern of analysis done, that when you have those factors in a press release, the stock should rise or fall for the next three to seven days is usually the horizon. People actually have become cognizant of the shifts in the formation of capital and when we maybe get some day of streamlining of regulations, that favors active management then I think we will get a boom back into that sector. But in the interim, we are still in that sort of slow bear contraction in mutual funds.
Holly Schoenfeldt: Perfect. Thank you for that, Frank. All right. With that this concludes the U.S. Global Investors webcast for the third quarter 2019. As I said previously this presentation will be available on our website usfunds.com and thank you all for your participation today.
Frank Holmes: Thank you, Holly. Thank you, Lisa, and everyone else on the team, Kat and Joseph and the team and John for putting this together.
Lisa Callicotte: Thank you.
Q - :